Operator: Good morning and welcome to the AutoZone conference call. (Operator Instructions) This conference call will discuss AutoZone's fourth quarter financial results. Mr. William Rhodes, the company's Chairman, President and CEO, will be making a short presentation on the highlights of the quarter. The conference call will end promptly at 10:00 a.m. Central Time, 11:00 a.m. Eastern Time. Before Mr. Rhodes begins, the company has requested that you listen to the following statement regarding forward-looking statements. Statements contained in this presentation are forward-looking statements. Forward-looking statements typically use words such as believe, anticipate, should, intend, plan, will, expect, estimate, project, position, strategy, and similar expressions. These are based on assumptions and assessments made by our management in light of experience, perception of historical trends, current conditions, expected future developments and other factors that we believe to be appropriate. These forward-looking statements are subject to a number of risks and uncertainties, including, without limitation, competition, product demand, the economy, credit markets, the ability to hire and retain qualified employees, consumer debt levels, inflation, weather, raw material costs of our suppliers, energy prices, war and the prospect of war including terrorist activity, availability of consumer transportation, construction delays, access to available and feasible financing, and changes in laws or regulations. Forward-looking statements are not guarantees of future performance, and actual results, developments, and business decisions may differ from those contemplated by such forward-looking statements, and such events could materially and adversely affect our business. Forward-looking statements speak only as of the date made. Except as required by applicable law, we undertake no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. Actual results may materially differ from anticipated results. Please refer to the Risk Factor section of AutoZone's Form 10-K for the fiscal year ended August 30, 2008, for more information related to those risks. In addition to financial statements presented in accordance with generally accepted accounting principles, AutoZone has provided metrics in this presentation that are not calculated in accordance with GAAP. For a reconciliation of these metrics, please see AutoZone's press release in the Investor Relations section at www.autozoneinc.com.
Operator: Mr. Rhodes, you may now begin.
William Rhodes : Good morning and thank you for joining us today for AutoZone’s fiscal 2009 fourth quarter conference call. With me today are Bill Giles, Executive Vice President, Chief Financial Officer, Store Development and IT, and Brian Campbell, Vice President, Treasurer, Investor Relations, and Tax. Regarding the fourth, I hope you’ve had an opportunity to read our press release and learn about the quarter’s results. If not, the press release along with slides complimenting our comments today, is available on our website www.autozoneinc.com. Please click on Quarterly Earnings Conference Calls to see them. We are very pleased to announce for the quarter a same store sales increase of 5.4% and an EPS increase of 14.2% in comparison to last year’s fourth quarter. Adjusting for the extra week in last year’s results, our earnings per share increased 22%. This past quarter we continued our relentless focus on executing the basics extremely well as we believe this translates to a superior customer experience. I’d like to sincerely thank and congratulate our 57,000 plus AutoZoners across North America for their tremendous dedication and commitment to excellence that led to us achieving our 12th consecutive quarter of double-digit EPS growth. Additionally I would like to recognize them for delivering a very strong fiscal year, highlighted by a same store sales increase of 4.4%, and an EPS growth adjusted for the extra week of 19.7%, all while providing superior trustworthy advice, and great customer service. And as evidenced, that we are focused on managing capital prudently, we increased our return on invested capital to 24.4% on a trailing four quarter basis. As we begin fiscal 2010, we feel we’re well positioned to take advantage of continuing growth opportunities that exist in each of our businesses; US retail, commercial, Mexico, and ALLDATA. We worked very hard this past year to execute aggressively on our tactics as the macro environment turned in our industry’s favor. And as we head into a new fiscal year, we remain optimistic we can enjoy strong sales results. We believe consumers are trying to save money and repairing your car is a very simple way of doing just that. While cash for clunkers certainly was successful at selling approximately 700,000 vehicles through August, the remaining 200-plus million registered vehicles and their drivers continue to look for ways to save money during these very difficult times. We certainly are hopeful consumers have changed their mindset for years to come and will continue to properly maintain their vehicles by either doing it themselves, or using one of our highly qualified commercial customers. However, we also see where many of the initiatives we have undertaken are resulting in increased market share in each of our four businesses. As our retail and commercial businesses began to improve last winter, we elected to capitalize on the opportunity to strengthen our position for the future. As consumer buying behaviors began to shift when the economy became more difficult, we saw an opportunity to accelerate some operating investments. Examples of these included a more aggressive expansion of our Hub store operating model, an acceleration of our store maintenance, an increase in the amount of formal training, and an expansion in the size of our commercial sales force. We also deployed additional capital in areas we believe will have future impacts, such as enhanced IT infrastructure, continued additions of late model products while focusing on reducing less productive inventory, and we began an effort to purchase more of our new properties versus leasing those new locations. Lastly, we added more selling hours to our stores. These investments were made to optimize short-term performance but equally as important, to benefit future quarters and years. These efforts we believe will help us build on our recent successes. Over the last year I’ve had the privilege of working in many of our stores across the country and I can say with confidence that our store presentation and service is industry-leading. We have worked diligently to differentiate ourselves at the point of sale and we will continue on those efforts going forward. However, we make no assumptions that our competition is unwilling or unable to gain market share from us if we don’t remain intensely focused on the customer. We are not trying to reinvent ourselves, we simply are looking to continually improve our customers’ experience through better, more knowledgeable AutoZoners who can help the customer do the job right the first time. And it’s working. We will now try to address some of the questions we expect you have this morning. First, regarding sales results, we’re excited about the prospects for fiscal 2010. We continue to feel good about our retail business opportunities and we absolutely believe we can build on our recent commercial successes. We believe AutoZone’s future can be one of continued, solid sales growth combined with strong operating margins. Now we are realistic that there will be a more difficult sales comparisons beginning in our second fiscal quarter as we anniversary the acceleration that began last winter. However we are optimistic that we can continue to deliver strong performance as long as we focus on improving the customer experience. Secondly, with respect to gross margin rate, it was consistent with the prior year and we continued to see opportunities to expand our gross margins as we begin the new year. This past quarter’s mix of merchandising sold negatively impacted our overall gross margin rate but expanded gross margin dollars, just as it did last quarter. We continue to feel confident in our positioning versus the competition and feel there are cost opportunities heading into the new year, as commodity costs have seen some declines. Also, we are continuously expanding our import initiatives to reduce costs further. Finally pricing did not play a major story in our sales or margin results this past quarter. From an expense standpoint, as mentioned earlier, we purposely decided to accelerate some of the initiatives that we have been testing faster then we may have otherwise, in an effort to capitalize on current market conditions. This clearly kept us from realizing additional leverage on the incremental sales, but we believe it was the right approach and has contributed to our sales momentum. That being said, our organization knows how to manage expenses. If the sales environment warrants a change, we stand prepared to quickly make any necessary adjustments to this approach. Regarding our commercial business, our trends remain positive as we continue to build our sales force, refine our parts assortment, and focus our efforts on our most profitable customers. As with our retail business, our market share growth trends are exceeding the pace of growth of the overall commercial market. However, we recognize that with only a 1.5% market share, there is significant opportunity for growth and we are encouraged but not satisfied with our current performance levels. We continue to feel confident in our strategy, and we look forward to capitalizing on this tremendous opportunity in 2010 and beyond. As I have traveled to our stores in many markets in recent months, I have been very impressed with the progress we are making in improving our execution on a variety of fronts. I see highly motivated AutoZoners who are very excited by the acceleration in their store’s performance, especially in this macro environment. I see improvements in our stores’ appearance both internal and external. I see us providing our customers with very compelling offerings that our customers appreciate. The stories AutoZoners shared with me that they see a significantly improved parts assortment, both in their stores and available through our Hub stores. I also see a new sense of confidence across the store but particularly with AutoZoners who primarily serve our commercial customers. They recognize the significant increase in tools and resources they have been provided over the last couple of years. Now, our businesses are consumer oriented businesses, and any customer oriented business you are only as good as your last customer interaction. I continue to see ample opportunity for us to improve in every store, with every customer, every day. We cannot and will not get complacent due to three quarters of improved sales performance. Lastly I’d like to take a moment to mention we’re hosting our National Sales Meeting here in Memphis next week. Our entire field leadership will be here to learn about the key initiatives for 2010. This year’s theme is going the extra mile. It is a continuation on last year’s theme of great people providing great service. Its at this meeting where we’ll recognize our top performing store managers as we induct them into our President’s Club. Its also at these meetings where I’ll thank our AutoZoners and reinforce how important their efforts are to this organization. We will focus on our initiatives to provide the best service levels, sell the complete job, and continue to refine our product knowledge to support our customers’ needs. I cannot wait to thank everyone for a great year and to challenge them to push even harder to provide trustworthy advice and superior customer service in 2010. Now I’ll take a few moments to talk more specifically about our retail, commercial, and Mexico results for the quarter and then Bill Giles will review our gross margin results, operating expense results, balance sheet, and cash flows. For the quarter, total auto parts sales increased 1%, after adjusting for the extra week last year, sales were up 7.1%. During the fourth quarter we continued to focus on driving sales and profits through improving the customer experience. This quarter we updated 26 of our 40-plus major merchandise categories and for the year completed at a minimum, one full line review per major category. Refinement of our merchandise assortment is a core element of improving our ability to say yes more frequently to our customers and to meet or exceed their needs. We will remain committed to the timely execution of merchandise assortment updates. I’ll break my comments regarding retail sales up into five major categories, specifically I’ll address what we’re seeing from the merchandise sales perspective that’s helping to drive our performance. Then I’ll touch on our new Hub store operating model. Next I’ll discuss our continuing initiatives on training. I’ll then spend a moment on new marketing themes for the retail customers and then finally I’ll address the macro trends we’ve seen. Regarding merchandise mix, we experienced trends that were generally consistent with the last two quarters. We continued to see items categorized as maintenance out pace the growth in failure and discretionary categories. Typical examples of product categories we classify as maintenance would be oil and filters, brake pads, wiper blades, and shocks and struts. We attribute this trend to consumers changing their perspective on the importance of their vehicle and their likelihood of holding onto that vehicle for a sustained period of time. For the quarter, failure type items represented approximately 40% of our sales and continued to grow but at a lesser rate then maintenance categories. As parts fail based on relatively predictable time lines, we wouldn’t expect to see the economy as a major contributor to failure rates. Also sales of the discretionary related items remain under pressure. As the name implies, these categories are more want than need based purchases and our customers have come under pressure from the economy, they have elected to defer more of these types of purchases. Discretionary products represent less than 20% of our customers’ purchases today. We expect this trend will continue as consumers remain challenged by the macro environment. Now I’d like to take a moment to update everyone on our enhanced Hub concept. We converted an additional 15 Hub stores to our new model by expanding the hard parts assortment and increasing the delivery frequency to our satellite stores. Today we’ve converted just under half of our 143 Hubs to this new operating model. The results primarily measured by a sales lift in the combined store market, have been encouraging and sufficient for us to continue to expand the number of locations on this program. Based on the success of the program and our improved performance overall, we accelerated the expansion of this program. By increasing the hard parts assortment and frequency of deliveries to our satellite stores, our AutoZoners are now in a position to say yes with confidence more frequently to our customers. Secondly, the enhanced Hub offers us the ability to improve the productivity of inventory particularly slower turning inventory. We no longer have to retain certain slower moving SKU’s in our satellite stores because we can access the slower turning SKU’s from our Hub stores, thereby reducing working capital. Currently we’re redeploying these inventory investments to add more late modeled products. As this is a relatively new initiative for us, we will continue to look for opportunities to refine and expand this service and we believe this enhancement offers us opportunities to continue to profitably increase our sales. Third, training continues to be a key priority to improve customer service and grow sales. This past quarter we invested in a formal leadership training program for store managers and their leaders. We continue to challenge AutoZoners to energize others and help teams succeed while putting customers first. This two-day session was very well received by the participants. The fourth item I’d like to talk about is our marketing message for the retail customer. We continued with our “just because you’re doing it yourself, it doesn’t mean you have to do it alone” theme in our radio and television ads during the fourth quarter and will continue to focus on this message heading into 2010. We believe doing it yourself will be a poignant theme in 2010 as saving money remains paramount to shoppers. We continue to believe marketing AutoZone’s strengths, trustworthy advice, great merchandise, and the right price will continue to positively resonate with our customers. Regarding macro trends, during the fourth quarter unleaded gas prices started out at $2.24 a gallon and steadily climbed to $2.61 a gallon by the last week of our quarter. This creep in prices is not uncommon during the summer driving season. While the prices at the pump remain approximately 35% below last year’s fourth quarter average of $3.93 a gallon, it is noteworthy that prices were up again from just last quarter’s average price at $2.02 a gallon. Forward prices on gasoline for the next 12 months continue to indicate flat pricing year over year. We believe in these ranges of mid $2.00 a gallon, gas prices will not be a material driver of miles driven in 2010. Regarding miles driven, we saw basically flat results in miles driven in April and May, however we saw a marked improvement in driving in June as comparisons continued to ease versus the prior year. While recently we have seen minimal correlation in sales performance with miles driven, historically it has been one of the two key statistics that correlates our sales results better than anything else over the long-term. The other is the number of seven year old and older vehicles on the road. Regarding vehicle count of kind of vehicles or OKV’s it has continued to increase over time. Our trade association, AAI, recently reported more registered vehicles on the road than ever before with the vehicle population at 242 million and based on [inaudible] data, the average age of vehicles continues to increase as does the number of vehicles seven years old and older. Regarding weather, we believe it had a slight negative impact on our results, especially in the North Eastern and Mid Western states due to cooler weather this year versus last year. I’d also like to talk about the high rate of unemployment our country is currently experiencing and its possible impact on our sales results. Unemployment has increased steadily over the past several months with August ending at 9.7%. At this point we don’t believe the rise in unemployment has negatively impacted our performance, and in fact, it is likely helping. We are obviously mindful of this rise and continue to monitor it closely. Lastly we should address the government’s cash for clunkers program recently completed. While the results for the car makers have been positive, we did not see a material impact from this program on our sales results in either our commercial or retail businesses. We believe the percentage of car population effected by this trade-in program was immaterial to the overall car population. With that said, as previously stated, we were not proponents of this program. For the trailing four quarters, total auto part sales per square foot were $239. This statistic continues to set the pace for the rest of the industry. Now let’s turn to commercial. For the quarter, total commercial sales increased 0.3%, however the business increased 5.7% versus last year’s quarter on a comparable 16 week basis. We are encouraged by the momentum we have experienced in this business over the last year and we believe we’re positioned for continued growth in 2010 and beyond. As we analyze our commercial sales growth across the country, we were pleased to see growth has come from both existing and new customers. As we continue to increase market share we’ve grown our sales force and improved our parts coverage. With improved tools in place combined with constant enhancements we’re continuing to build a platform for long-term growth. We now have our commercial program in 2,303 stores supported by 143 Hub stores. During the quarter we opened 27 additional programs, however, of the 27 programs, 19 opened in the last couple of weeks of the quarter. Our main focus remains on building and developing our sales force. We are targeting sales growth through first increased penetration of existing customers, and second on acquisition of new customers in our existing service radius. We operated approximately 1,900 programs, a majority of the 2,303 with what we previously described as additional resources, such as an outside sales force, incentive compensation, and more extensive marketing collateral. These programs continued to materially outperform the results of our remaining programs. The majority of our business is derived from up and down the street customers which experienced high single-digit growth throughout the quarter. We continued to work closely with our national account customers and have developed a strong business relationship with many of these customers. Also we continue to develop our public sector business and have experienced substantial growth over the previous year in this customer segment, although its currently small in comparison to our other segments. Over the past quarter with the success we were seeing, we again added to our commercial sales staff, while reducing our store to sales person ratios. We believe more intense personal focus on existing account management will drive continued results. We also continued to add delivery vehicles to support existing and future growth. Finally we continue to see opportunities to leverage technology as a point of differentiation in this business. During the quarter we implemented a new sales force management tool that allows us to direct our sales force to specific accounts and provides us with meaningful data on the outcome of those sales calls. In summary we believe we are constantly enhancing our offering in this business and as a result we believe we can build on this momentum heading into 2010. Lastly I’ll introduce a concept that seems logical but we think it has real customer satisfaction and top line implications for both our commercial and retail businesses in 2010. We’ve coined the phrase “one team”. We believe we have to stop referring to AutoZoners as either being commercial or retail. We feel by teaching all our AutoZoners to support both our retail and commercial customers, we can become more efficient and be better partners with all of our customers. While this concept is in the early stages, the few test stores we’ve implemented show very promising results. Our Mexico stores continued to perform well. However the story for Mexico this past year has been the weakening peso. At the end of the fiscal year the peso traded at over 13 to one US dollars versus last year at 11 to one. This weakness has challenged the US dollar compares for both the top and bottom lines versus last year. We opened 20 new stores during the fourth quarter and currently have 188 stores in Mexico. For the year we opened 40 new stores, a significant acceleration from last year’s record number of 25 new stores. We believe that we have an appropriate strategy to manage our Mexico business for the long run while minimizing foreign currency risk. Our ongoing commitment remains to prudently and profitably grow the Mexico business. Now I’ll turn it over to Bill Giles to discuss the remainder of the income statement and cash flows, and the balance sheet.
Bill Giles : Thanks William, before I begin let me remind you that last year the fourth quarter consisted of 17 weeks as fiscal year 2008 was a 53 week year. As I discuss our financial results for the quarter, I will compare the 16 week period this year to the comparable 16 week period last year. Regarding the fourth quarter for the 16 weeks ended August 29, we reported sales of $2.232 billion, an increase on a comparable 16 week basis of 7.1% from last year’s fourth quarter. Same store sales were sales for stores open more than one year were up 5.4% for the quarter. We experienced similar sales growth from both our retail and commercial customers. Additionally our sales trends throughout the quarter remained generally consistent. Over the quarter there were no material regional sales differences other then the weather impacts previously mentioned. Net income for the quarter was $236 million, an increase of 3.6% on a comparable basis versus last year’s fourth quarter and diluted earnings per share increased 22% to $4.43 from $3.63 on a comparable basis in the year ago quarter. Our continued disciplined capital management approach resulted in return on invested capital for the trailing four quarters of 24.4%. We’re proud to report that this metric continues to improve over last year’s already industry leading rate. Return on invested capital is a key measure of our success. We have and will continue to make investments that we believe will generate returns that significantly exceed our cost of capital. And we want to assure all investors we understand the capital we deploy in this business is your capital. Based on our historic and current ability to generate strong cash flow, we are able to strategically invest in those assets we believe will generate an appropriate return. Gross margin for the quarter was 50.3% of sales, flat compared to last year’s fourth quarter. In the fourth quarter gross margin was impacted positively by leverage on distribution costs due to improved efficiencies and lower fuel costs which was largely offset by an increase in sales categories, [but] typically carry lower then average margin. This quarter’s margin played out very similar to last quarter’s results. While we have not seen a material shift down to our good categories from our better and best categories as the economy weakened, we have seen a move to maintenance categories over more discretionary merchandise categories. Commodity related categories continue to be strong growers for our business and they typically have lower gross margins then hard parts categories. While we have recently begun to see cost decreases from several of our commodity vendors, these cost decreases either did not flow through our [inaudible] cost quickly enough to make a difference on the quarter or they simply weren’t big enough decreases to move the needle. Our Duralast, Duralast Gold, and Valucraft product lines continued to show sales increases in both our retail and commercial businesses. Our customers continue to recognize the value proposition these high quality brands offer. Looking forward we believe there continues to be opportunity for gross margin expansion. We do not manage to a targeted gross profit margin percentage as our key focus is on increasing absolute gross profit dollars. SG&A for the quarter was 31.6% of sales, flat with the comparable period last year. Unique to this quarter’s results was the fee paid for [unwinding] our swap agreement tied to the prepayment of our $300 million bank term loan. The expense of $3.6 million should be considered a one-time in nature and did negatively impact SG&A by 16 basis points. Additionally we experienced leverage on many operating expenses due to the higher sales volume, however, as William previously mentioned, we accelerated some other initiatives that offset a significant amount of this leverage. We feel we are appropriately balancing our expenditures to enhance the customer experience while being fiscally prudent. EBIT for the quarter was $418 million, up 7.1% over last year’s fourth quarter adjusting for the extra week. Interest expense for the quarter was $47.8 million compared with $32.4 million a year ago, as adjusted for the extra week. Much of this increase was due to a combination of increasing our debt outstanding by 20% versus last year plus our terming out a majority of our commercial paper borrowings in late June coupled with additional costs associated with our new three year revolving credit facility. We would expect this higher interest expense run rate to continue heading into the fiscal year. Debt outstanding at the end of the quarter was $2.727 billion or approximately $480 million more than last year’s balance of $2.250 billion. Our adjusted debt levels at 2.5x EBITDAR, adheres to our targeted leverage ratio on an ongoing basis of 2.5x. We purposely manage our capital structure relative to our cash flow in order to maintain our credit ratings at investment grade while optimizing our cost of capital. For the quarter our tax rate was approximately 36.2%, basically flat with last year’s fourth quarter. For the first quarter we expect to run a higher rate, closer to 37%. Net income for the quarter of $236 million was up 3.6% versus the prior year’s quarter adjusted for the extra week. Our diluted share count of 53.3 million was down approximately 15% from last year. The combination of these factors drove earnings per share for the quarter to $4.43, up 22% over the prior year. Just to clarify, I should add that excluding the swap repayment penalty falling within our operating expenses, we would have reported $4.47 per share in earnings. Related to the cash flow statement, in the fourth quarter we generated $924 million of operating cash flow. We continue to see opportunities to increase operating cash flow going forward. We purchased $587 million of AutoZone stock and at the end of the fourth quarter, we had $310 million remaining under our share buyback authorization. For the year, AutoZone repurchased $1.3 billion of stock or 9.3 million shares. We continue to view our share repurchase program as an attractive capital deployment strategy. Next I’d like to update you on our inventory levels in total and on a per store basis. We reported an inventory balance of $2.2 billion, up 2.7% versus the Q4 ending balance last year. On a per store basis, we were down 1.4% at $500,000. We believe our enhanced hub model will allow us to continue to manage our inventory levels more efficiently. We do however expect to offset some of these inventory reductions with new hard parts coverage. Accounts payable as a percentage of gross inventory finished the quarter at 96% versus 95% in last year’s fourth quarter. And for the quarter total working capital was a negative $145 million versus last year’s balance of a positive $67 million. Net fixed assets were up 2.8% versus last year. Capital expenditures for the quarter totaled $112 million and reflect additional expenditures required to open 81 new stores, maintenance on existing stores and work on development of new stores for upcoming quarters. We have also seen a shift in opening to more purchased sites from leased as we have attempted to take advantage of our credit position and purchase more real estate. We expect this shift to continue heading into 2010. Specifically related to new store openings, our new stores remain on track and we continue to see opportunity to open stores at a low to mid single-digit growth rate for the foreseeable future. We believe opening stores during this more difficult economic time can be beneficial. We opened 57 net new domestic stores in the quarter for a total of 4,229 stores in 48 states, the District of Columbia and Puerto Rico. Depreciation totaled $57.2 million for the quarter, higher then last year’s fourth quarter expense of $53 million, due primarily to higher capital expenditures during this past year. AutoZone continues to be one of the few players in our industry to have investment grade debt ratings. Our senior unsecured debt rating from Standard & Poor’s is BBB and we have a commercial paper rating of A-2. Moody’s investor service has assigned us a senior unsecured debt credit rating of Baa2 and a P-2, and Fitch has assigned us a senior unsecured rating of BBB as well and a commercial paper rating of F-2. Now I’ll turn it back to William Rhodes.
William Rhodes : Thank you Bill, before we conclude I want to take the opportunity to reflect on fiscal 2009. In my opinion our organization performed extremely well for the year, both operationally and financially. I’m very proud of what our organization accomplished along with the support of our vendors and I would like to recap a few of those key accomplishments in recognition of the terrific job our AutoZoners continue to do. We completed the year with our highest same store sales since 2002 at 4.4%. We continued to enhance our team, processes and commitment to the commercial business building good growth momentum. We grew market share in each of our four businesses. We opened a total of 180 new stores with 40 of those locations in Mexico. On a comparable basis we grew EBIT at 7.2% and grew EPS at 19.7%. Our return on invested capital ended the year at 24.4%, close to an all time high. Our core execution levels across the organization have continued to improve significantly. We completed the previously announced change to our capital structure and ended the year at 2.5x adjusted debt to EBITDAR, and successfully completed in these very challenging credit markets a $500 million bond offering and renewed our revolving credit facility. And just as importantly, our organization is very healthy. I would characterize the organization as motivated, team oriented, talented, and highly committed to excellence. Our approach has been very consistent, disciplined and methodical, with a focus on continuous improvement. Fiscal 2010 will have the same approach. We have very clear goals heading into 2010. Our operating plan theme reinforces this approach by leveraging one of our cultural cornerstones, going the extra mile. Our commitment to our customers, each other, and each of you, is that we will continue to go the extra mile in everything we do. Year 2009 is now in the history books. We cannot rest on last year’s performance. We have to write new history, set new records, and exceed customers’ expectations. We believe we are very well positioned to do just that. Our major objectives in 2010 will sound very familiar. They are a relentless focus on hiring, retaining, and training our AutoZoners to make sure we’re delivering trustworthy advice, and in this environment, we have a unique and incredible opportunity to retain our great AutoZoners and strengthen our team with very talented new additions. As we continue to say, its great to be an AutoZoner. Continually refine our product assortment will be our second objective, especially for late model products. Third, we’ll deploy inventory more effectively across our network with specific emphasis on utilizing our Hub network even more effectively. Fourth, commercial sales growth, appropriately paced profitable growth across our up and down the street national accounts and public sector customers. This will be accomplished through a combination of continual development of our sales team and refinement of our product assortment and service offerings. This year will also include work to refine our store operating model to lend our store AutoZoners across both businesses. In other words, our one team initiative. We believe there can be real power in managing our stores as one cohesive unit. We believe having all AutoZoners supporting commercial and retail customers will enhance our service level to all customers. I thank you today for letting us share with you our company’s results and touch on a few of our ongoing initiatives. We look forward to keeping you abreast of our results well into the future. Finally before we move to Q&A, I want to again thank and congratulate our entire organization for everything they do for our customers, fellow AutoZoners, shareholders, and communities. It is a distinct honor to work alongside such passionate, committed team members. Now we’d like to open up the call for questions.
Operator: (Operator Instructions) Your first question comes from the line of John Lawrence - Morgan, Keegan
John Lawrence - Morgan, Keegan: On the sales side, first of all would you talk a little bit about that discretionary customer less then 20%, I know its hard with the expanded hard parts coverage over the last few quarters, but what is the normal rate or how high did that discretionary mix get at I guess when that customer was spending freely.
William Rhodes : It wasn’t terribly higher then it was. We’ve experienced pressure in that business pretty much over the last year and its down, but its not changing that mix significantly.
John Lawrence - Morgan, Keegan: So just the opportunity there when that product mix comes back.
William Rhodes : Yes, there’ll be continued opportunities there and we look forward to taking advantage of that but I’m very encouraged by what’s going on with the maintenance items in our business. Obviously there appears to be a mindset change in our customers’ behavior on how long they’re going to keep their vehicle and that they need to continue to maintain it. And our hope is that that will continue even as the economy improves.
John Lawrence - Morgan, Keegan: And secondly, if you look at SG&A, I know you, thanks for that breakdown of sort of where you spent that money, can you give us any step of clarification there or just help, that $50 million increase there of SG&A when you ex out the extra week, what buckets would you put those on as far as people versus the hubs and then investment. Can you give us any kind of sense of the magnitude of that investment.
Bill Giles : Its difficult to break it out specifically, I think we had given some guidance before on some of the hubs but a lot of this is people related. We think we’re improving our customer service levels. We’re certainly supporting our sales growth overall by increasing our payroll levels. Some of the hub investments do require a headcount a little bit from increasing deliveries to the satellite stores so if I had to put it to a number, I would say more then half of that is more people related then asset related.
Operator: Your next question comes from the line of Dan Wewer - Raymond James
Dan Wewer - Raymond James: You had noted that the change in merchandise mix precluded AutoZone from improving gross margin rate, do you think this change in mix is prevalent throughout the industry or is it company specific to AutoZone.
William Rhodes : I think we have seen, obviously we see market share information through NPD, and what we see from that is there has been some overall shift in the industry to those maintenance related categories but believe we’re seeing maybe increased penetration versus the overall market, but the overall market is increasing.
Dan Wewer - Raymond James: And you noted that gross margin rate could improve in 2010 in part due to lower commodity costs, but is there a risk that that lower inflation rate might adversely impact same store sales growth.
Bill Giles : That’s a good question, I don’t see that. We haven’t experienced that before. We’ve had similar circumstances near as past, so I think overall though I think we see some opportunities in lower commodity costs increasing our import activity and so we believe there’s the ample opportunity to lower acquisition costs from merchandise perspective, but we don’t necessarily see that as a top line risk.
Dan Wewer - Raymond James: You sound relatively optimistic on same store sales in 2010 despite the more difficult year over year comparisons, I’m not expecting you to provide any guidance on comp sales growth, but is there some kind of range that you’re thinking about for the new year.
William Rhodes : Obviously internally we’re thinking about ranges, but as you know we don’t share guidance going forward. What I do know is that we’re able to act and react very quickly at AutoZone to whatever the business dynamics are. We don’t have to have a three or six month timeframe to be able to react. So we’re certainly optimistic that there’s been a change in consumer behavior. We’re also optimistic that we’ve introduced ourselves to new customers who are doing new jobs and we think we’ve done a good job of that and we’re optimistic about the future. What does that look like? We’ll see as we, as the year unfolds.
Operator: Your next question comes from the line of Tony Cristello - BB&T Capital Markets
Tony Cristello - BB&T Capital Markets : One of the questions I had, you talked about the sort of accelerated investment spend for this quarter, how should we look at from an investment spend for your current quarter or then going out. Have you pretty much caught up to where you wanted to be from a spend initiative standpoint.
Bill Giles : I think that when we mentioned some of the acceleration, some of the maintenance programs, I think we feel as though we’ve caught up. We think our stores are looking good. That’s certainly something we’re very focused on. There’s still opportunity for us to continue to expand some of the enhancements that we’re making to the hub stores and as we mentioned in the call, we’re seeing sales momentum from those changes and so that momentum breathes momentum and we will continue to invest there as we continue to get those results. And at the same time our commercial business continues to build strong momentum and we’re making investments in there as William mentioned before, particularly in the sales force area. And so we’ve seen good results from the investments that we’ve made. So I expect it to be at a diminished rate but I also expect us to continue to do what we believe is necessary to continue to capture market share.
Tony Cristello - BB&T Capital Markets : So if you were to put up another 5% or 6% type comp number in this upcoming quarter, we shouldn’t expect maybe the same $50 million or some area or magnitude of that, maybe a little bit less then that, but you would take advantage of sort of a perhaps a more aggressive initiative on the spending front.
Bill Giles : I think that’s exactly right and as William mentioned before, we’re going to make game day decisions as we approach it and as we see our sales trends, but at the moment we’ve got good sales momentum this past quarter and so we did spend into that because again, we’re spending money for what we believe on a longer-term basis we’ll continue to capture market share.
Tony Cristello - BB&T Capital Markets : Are there incremental costs that are flowing in from a hub related standpoint that are hitting the cost of goods line, rather then the SG&A line.
Bill Giles : Less so, I would say its more SG&A related then cost of goods sold related.
Tony Cristello - BB&T Capital Markets : And when you look at sort of unemployment and you look at the SAR, how do should we think about the impact on the DIY business, I know we talk about the average number of cars on the road that are six, seven, eight years and we talk about the miles driven and what that’s doing. But if you make the assumption if for the next six to 12 months whether unemployment is at 9% or 10% or SAR is only at 11 or 12, down from 16 million, what impact to you think that has on your business versus a SAR being at 14, 15, or 16 million.
William Rhodes : Its challenging to decide exactly what the impact is going to be, but clearly the age of vehicles are continuing to grow even despite cash for clunkers. We think that’s good for our industry both in the short-term and in the long-term. Secondly on unemployment, we have seen strong correlations with our sales as unemployment increases and substantially increases. Interestingly we haven’t seen correlations on historical basis that it drops back off after that happens and I think there’s some of that that is driven by mindset shift in consumer behavior that we’re not going to go back to the go go days just because unemployment drops down by a point. So that’s part of where our thoughts are on what the future looks like and part of the reason why we’re generally optimistic about what our future holds.
Tony Cristello - BB&T Capital Markets : And these initiatives that you put in place, does that give you a little bit of ability to lever at some point at an even lower same store sales comp then maybe you would have 12 months ago.
William Rhodes : I think we’ve, I would characterize it differently in that 12 months ago we were levering on very low sales levels. We’ve elected to make some decisions over the last 12 months as we’ve seen market conditions be opportunistic and therefore we’ve ramped up our expenditures. I think we’ll be able to very effectively manage costs on a long-term basis. But we see a unique opportunity at this point in time with some initiatives that we have a high level of confidence in and that’s one thing that I want to make sure and reiterate. We, certainly the trends in the market have gone in our industry’s favor over the last nine months, but we’ve gained market share. And we’re very encouraged that the initiatives that we’ve done have led to that gaining of market share and we look to continuing to do that going forward.
Operator: Your next question comes from the line of Gary Balter - Credit Suisse
Gary Balter - Credit Suisse : Just following up on Tony’s questions, what SG&A, what comp do you need to leverage SG&A next year, how should we be thinking about that.
Bill Giles : I think that historically that we have said that its around 3% all things being equal. So what I think is that’s probably not a bad way to continue to think about it over a short-term basis. But take into account that there may be opportunities for us where we see momentum in sales from certain initiatives that we may accelerate certain initiatives, but at the moment, that’s probably the easiest way to think about it.
Gary Balter - Credit Suisse : Okay because this quarter obviously we didn’t see that because of the [inaudible] your invested.
Bill Giles : That’s right and we did that consciously. We kind of went through this process. We saw what a terrific opportunity for us to be able to enhance some things that have really worked for us and also to get ahead a little bit on some of the maintenance things, to make sure our physical plants, our physical property is looking good for the long-term.
Gary Balter - Credit Suisse : And you may have said this on the call, but could you talk about the LIFO and FIFO impacts.
Bill Giles : Not much of an impact at all really. There really wasn’t a significant impact on LIFO this quarter.
William Rhodes : As you know we don’t record LIFO reserves so, [no] impact on our SG&A, excuse me [inaudible] profit.
Gary Balter - Credit Suisse : As we look forward, the question we get as someone who has a buy on your stock is after next quarter when the comparison gets more challenging if they can only comp at historical levels on a two year basis that would be zero to two, and then they’re not going to get leverage, how do you respond. I’m sure you get asked the same question.
William Rhodes : The first way I’d respond is we’ve gone through several cycles in the economy over the last 12 quarters. And we’ve grown EPS double-digits in each of the last 12 quarters in very different economic cycles. So we have changed our approach a little bit over the last nine months and we’ve been more aggressive on the initiatives. And I believe that aggression has led to us increasing our market share. If the sales environment changed, we stand ready to make sure we make the necessary adjustments in this business to continue to provide very strong performance and I’m highly confident we’ll do just that.
Operator: Your next question comes from the line of Alan Rifkin – Banc of America
Alan Rifkin – Banc of America: The decision to increase your ownership of a store base in the current quarter, is that more so a reflection of the weak real estate environment today or do you think that going forward over the longer-term a greater concentration of owned stores could be possible.
Bill Giles : I think that its probably a little bit of the former. Its always been our posture that we would prefer to own then lease where appropriate and so we did see more opportunities over the last 12 months and I suspect that that will continue for the next 12 months or so. So where we have opportunities we would prefer to own versus lease. That’s always been our viewpoint and I think the marketplace is allowing us to increase that.
Alan Rifkin – Banc of America: Just as a follow-up there, how do you balance a decision to own versus rent versus—
Bill Giles : If you lease, its debt anyway because you’re signing a 10, 20 year lease and we’re baking that into our overall capital structure so we capitalize an operating lease and then look at is as debt then make your analysis that way. At the end of the day is it more opportunistic for us to own versus lease.
Alan Rifkin – Banc of America: What was the impact on earnings from the weaker dollar, if any.
Bill Giles : We didn’t quantify that necessarily. It did have an impact. Its not material enough to break out at the moment but it certainly had a negative impact to our earnings results.
Alan Rifkin – Banc of America: The decision to accelerate the store growth in Mexico, can you maybe just shed a little bit more color there on whether or not this could be a sign of a continued acceleration on there.
William Rhodes : That’s a great question, we’ve continued to accelerate our growth in Mexico on a per store basis. We haven’t necessarily grown it significantly as a percentage of the underlying store base. But I would expect us to continue to grow it generally consistent on a percentage basis which means as we added 40 stores, we’ll grow it more next year. We may accelerate a little bit more aggressively then that, we’re clearly pleased with the operating performance of that team down there. They’re doing a great job. They’ve got some challenges right now with the weakening peso and the weakened macro environment in Mexico but they’ve done a great job of building and managing that business.
Operator: Your next question comes from the line of Kate McShane – Citigroup
Kate McShane – Citigroup : Do you have any better sense of how the closures of dealerships are going to impact your business going forward.
William Rhodes : Yes I think clearly its going to be impactful to the commercial market more so then the DIY market. From what we’re seeing so far its more concentrated generally speaking in the rural areas and its going to make it more difficult for people that live in rural areas to have a convenient dealership location to have their cars repaired at. So I think that that will be beneficial to the commercial market. We’re not spending a tremendous amount of time on it because as I mentioned in our prepared remarks, we only have 1.5% market share so we control our destiny in that market more so then a few thousand dealerships closing. But I think it will be beneficial overall to the commercial market.
Kate McShane – Citigroup : I’m not sure if this was mentioned in your prepared comments, but with the interest expense up sequentially from the draw down of the credit agreement, should we expect interest expense to come down in the next few quarters or remain at this level going forward.
Bill Giles : I think it will remain at this level going forward. We’re probably at about 80% or better on a fixed basis at the moment so I would probably think of it as this is kind of a similar run rate.
Operator: Your next question comes from the line of Matt Fassler - Goldman Sachs
Matt Fassler - Goldman Sachs : On the commercial side, you spoke about sort of the up and down the street customers driving high single-digit same store growth, is the difference between that and the reported numbers still the cycling of some national accounts that you’re rolling off.
William Rhodes : Yes, we had one significant national account that is impacting that number and if you want to break it out it was roughly 5% so without that account it would have been up another 5%.
Matt Fassler - Goldman Sachs : And at what point do we finish cycling that.
William Rhodes : Its not a particular specific point because it was a multi location arrangement, [many] multi location arrangement and so we’re starting to cycle some of it but we’ll really finish it around Q3.
Matt Fassler - Goldman Sachs : Q3 of next year, so its with you for a little while longer.
William Rhodes : It does get smaller from this point going forward.
Matt Fassler - Goldman Sachs : And then you’re talking about seeing some lower cost of goods, we’ve sort of seen most of the commodity price declines transpire over the past number of months, if anything commodity prices have firmed up a bit, so does this reflect when the inventory is actually running through the P&L or is there some other explanation for the lag in the commodity price declines and the change to your cost of goods today.
Bill Giles : Yes I think its probably a bit of a lag relative to how it turns through the inventory, so I would agree with you that we’ve seen the majority of the commodity price declines, but we still see some coming down the road.
Matt Fassler - Goldman Sachs : And then on the margin front, you talked about mix issues, have you seen anything on the competitive front as it relates to different kinds of pricing or different levels of private label penetration in the DIY business particularly where you have transition going on at one or two of your competitors.
Bill Giles : Yes, I would say for the most part that we haven’t seen any changes in pricing. When you look at the high velocity items, we’re not really seeing any kind of change in pricing. Certainly in some of the conversion areas that are going on in the country we see some pressure in pricing but obviously we have a view that we’re not going to be undersold as we approach the market and we’ve operated that way all the time and we’ve been competing with these competitors for a long time.
Operator: Your next question comes from the line of Chris Horvers – JPMorgan
Chris Horvers – JPMorgan : A couple of questions on sales, can you talk about the rebate check compares, I know you mentioned that sales were relatively consistent. It seemed like other retailers had underestimated that boost so when you say relatively consistent, was July your weakest month of the quarter.
William Rhodes : Clearly, first of all we said in opening comments that it was generally consistent but if you characterize it more specifically it was a little bit softer in the middle of the quarter then it was on either end. And we correlate that to the fact that there was a stimulus check that came out last year and in last year’s call we called out that we thought the stimulus checks had added about 1% to our comps last year.
Chris Horvers – JPMorgan : And nothing in retrospect would make a change to that estimate.
William Rhodes : No.
Chris Horvers – JPMorgan : And do you think that on the kind of the sequential slowdown in comps and slightly on the two year, not too much to report there, but do you think that some of the deferred maintenance that was pent up let’s say in 2007, 2008 is playing itself out and that’s why you’re seeing a little bit of a slowdown.
William Rhodes : To me I don’t characterize it as that, I think there’s really been more of a mindset shift on maintenance versus there was a big pent up amount of deferred maintenance. My reaction would be that the difference is primarily related to what we just talked about, the stimulus checks being in last year’s quarter and not being in this year’s quarter.
Chris Horvers – JPMorgan : And then finally because I think we could try, is there any comment on September trends, you’ve mentioned it sounds like its continued, are we still talking like a 5% and as you think about your optimism for this upcoming year, how should we think about them, is that optimism against a tough compare or is that optimism in terms of being able to put up positive comps.
William Rhodes : Let me start with the first part of that, and that is, I don’t ever want to get into a discussing a two and a half, three week, period of time because I think its not relevant to what the long-term success of us is going to be so I don’t want to get into what’s happened so far in September. But we do remain confident for the year that we will be able to continue to perform well and a lot of that confidence comes from what we’ve looked at on a long-term basis as economic cycles have changed and then also the fact that we’re growing market share and we have spent a significant amount of money on new initiatives in the last six months. And we see where those initiatives are paying off and so we remain optimistic that we ought to be able to continue to grow.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
William Rhodes : Before we conclude the call I’d just like to reiterate that we are excited about our growth prospects for the upcoming year. We cannot take anything for granted as we understand we have to earn our customers’ business every day. Our culture remains the key point of differentiation from us and our competition and I want to stress that our efforts have a long-term focus. We view ourselves as in a marathon and not a sprint. Our focus is on our critical success factors. As we continue to focus on the basics, and manage our capital appropriately, we are confident AutoZone will continue to be incredibly successful. Thank you very much for participating in today’s call. Have a great day.